Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions year-end Fourth Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you'd like to ask a question at that time, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you'd like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before Thank you. I would now like to turn the conference over to Mr. Tyler Scott, Senior Vice President, Investor Relations. Thank you. Please go ahead, sir.
Tyler Scott: Thank you, operator, and good morning, everyone. Welcome to Cognizant's fourth quarter and full year 2025 earnings call. I am joined today by Ravi Kumar, our CEO, and Jatin Dalal, our CFO. Now, you should have received a copy of the earnings release and the investor supplement. If you have not, copies are available on our website, cognizant.com. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. Additionally, during our call today, we will reference certain non-GAAP financial measures that we believe provide useful information for our investors. Reconciliations of non-GAAP financial measures where appropriate to corresponding GAAP measures can be found in the company's earnings release and other filings with the SEC. With that, over to you, Ravi.
Ravi Kumar: Thank you, Tyler. Good morning, everyone. Thank you for joining us today. I'm pleased to report our momentum continued in the fourth quarter. Revenue growth and adjusted operating margin again outpaced our expectations. Looking at the quarter's highlights, revenue grew 3.8% year over year in constant currency, all organic, driven by North America. By segment, financial services led growth with constant currency revenue increasing 9% year over year during the quarter and 7% for the year, the highest annual level since 2016. Q4 bookings grew 9% year on year, driving a record quarterly total contract value. We signed 12 large deals with TCV of $100 million or greater, including one deal valued at more than $1 billion. The value of these large deal wins is 60% greater than a year ago. Adjusted operating margin of 16% improved by 30 basis points year over year. We now have over 4,000 AI engagements across all three vectors, and over 30% of our developer effort in software development cycles is AI-assisted and agent tech. Our productivity improved as fixed bid and transaction-based work now represent more than 50% of our revenue. We also saw a 5% and an 8% increase in trailing twelve-month revenues and adjusted operating income per employee, respectively. These results drove 2025 revenues up 6.4% in constant currency, surpassing the $20 billion mark and the high end of our guidance range. Importantly, we delivered profitable growth. Our 15.8% adjusted operating margin exceeded guidance, rising 50 basis points over last year. We achieved this result while investing in our people, including through a merit cycle for most associates and our highest discretionary annual bonus funding level since 2018. January marked my third anniversary as Cognizant's CEO. When we began this journey in early 2023, we set out to reclaim our winning heritage. In 2024, we successfully pivoted from stabilization to growth, industrialized a large deal engine, and expanded our platform strategy with AI-led investments to broaden our capabilities. In early 2025, we laid out our strategic objectives to amplify talent, scale innovation, and accelerate growth. We also set a goal to reach our industry's winner's circle by 2027. I'm extremely proud that we arrived two years early with top-tier revenue growth. Throughout 2025, we executed with speed and discipline, consistently meeting or beating the high end of our expectations each quarter as our investments began shaping Cognizant into an AI builder capable of scaling agentic AI across our clients' landscapes. Looking at additional milestones that demonstrate successful execution on our three strategic priorities, in 2025, we promoted more than 35,000 associates. We signed 28 deals, each with TCV above $100 million, with a combined TCV up nearly 50% versus last year. This includes five mega deals with TCV of $500 million or greater. Our net promoter scores reached a record high in 2025, from when I started three years ago. We expanded the breadth and depth of our partnerships across the hyperscaler and AI-native landscapes. We signed and have since closed our acquisition of Three Cloud, adding more than 1,200 Azure specialists and engineers to industrialize our deep expertise in Azure data and AI and application innovation. We returned $2 billion to shareholders through dividends and share repurchases. Our progress is reflected in our total shareholder return, which was top two within our peer group in 2025, both 2025 and the three-year period beginning 2023 through. Finally, with Belcan, we completed key integration milestones and continue to build a healthy synergy pipeline in the aerospace and defense industries. Last week, we announced Belcan secured a position on the missile defense agency's shield program. The indefinite delivery, indefinite quantity contract with a ceiling value of $150 billion positions us to compete for a broad range of task orders supporting innovative defense capabilities. As we enter 2026, our strategy is focused on solving the AI velocity gap. The gap between massive AI infrastructure spending in the past few years and business value realization for our clients. While AI technology is now mature enough to offer transformative value, the methodologies and tools to harness it are only just emerging, and the value to enterprises hasn't drifted yet. In fact, our latest new work new world research released last month reveals that AI is capable of unlocking $4.5 trillion in US labor value in the future. Cognizant's mission is to be the AI builder bridging the gap to enterprise value by converting the technology to measurable returns on investments for our clients. We are approaching this opportunity through our three-vector strategy. To capture vector one demand, as we call it, we're applying AI-led productivity to augment and accelerate traditional software cycles. As we shared at our Investor Day, we see a massive multi-trillion dollar opportunity to help clients accelerate the elimination of technology debt, build classical software in newer ways with AI platforms, and repurpose savings towards innovation. To capture what we call vector two and three, we are building entirely new cycles of agentic capital and digital labor that go beyond the reach of legacy software, creating a much larger total addressable spend. Closing this velocity gap, the AI velocity gap requires new methodologies and evolving beyond the traditional IT services role of the last two decades. In the nineties, we were bespoke systems builders. We wrote custom software code, and we owned the outcomes. In the two decades that followed, our role evolved into orchestrating classical software owned by various software providers. But classical software was written around the microprocessor, was deterministic, and built on rigid logic and fixed rules. Today's AI-led software, which is written around the frontier models, is probabilistic and contextual. This shift allows us to own the stack again and deliver outcomes. We believe the invention and reimagination of businesses will be driven by value at the intersection of AI-led agentic capital and classical software. To capture this demand, our AI builder stack acts as the connective tissue that addresses four layers of the ecosystem: AI compute, cloud, model access, and human capital services. Let me share some key elements. First is our trademark basis framework, our proprietary blueprint that guides clients in architecting new business processes, specifically for deploying and orchestrating autonomous agents. This is a fundamental shift from writing rigid logic to designing behavior, persona, intent, and outcomes. Second is our pioneering science of context engineering, a methodology for mapping a client's unique work graph, giving AI the situational awareness it needs to produce reliable business outcomes. Context engineering bundles an organization's operating principles, tribal knowledge, work patterns, friction sources, and historical and cultural imperatives so that AI intelligently binds to the enterprise's heterogeneous context, creating highly productive agentic capital. Third is our AI partnership ecosystem, which we continue to strengthen. On NVIDIA stack, we are offering solutions across the full life cycle, from building and fine-tuning models to standing up agentic applications and deploying them as microservices. With Anthropic, Google Cloud, Microsoft Azure, and OpenAI, we're using their frontier models and agentic tooling to build layers of application value to accelerate AI adoption for our clients. With Adobe and Typeface, we are modernizing the enterprise marketing function and enabling cutting-edge customer experiences and content by moving manual workflows to agentic orchestration. With Claude's code, cognition, GitHub, and WinSurf, we are industrializing software creation through advanced code generation. With WorkFabric, we are scaling the emerging discipline of context engineering. With Ryder and Uniphore, we are partnering to deploy specialized domain-specific AI platforms. With Palantir, we will integrate its foundry and artificial intelligence platform to support the integration of AI with our TriZero business. Finally, with Salesforce and ServiceNow, we are embedding our agentic networks directly into our client's primary enterprise workflows. The fourth layer of our AI builder stack is our own proprietary IP across platform services and research. For example, Source elevates our engineering velocity while neuro IT ops harnesses AI to proactively manage and self-heal hybrid environments. Our AI data services have helped curate billions of high-precision data points for global clients. With Sizeto, we are accelerating and improving health care management. Our recently launched CareAdvanced AI offerings help streamline clinical workflows, reduce administrative burden, and empower care teams with faster and more accurate insights. Our award-winning AI labs, which was awarded its sixty-first patent, continues to feed our continued investments in AI platforms and products. To industrialize our AI builder stack, we have formed three units to sharpen our go-to-market muscle. First, our market-facing AI units are the hunters of value seekers working to capture the $4.5 trillion in labor value our research identified. Second, our integrated AI solution unit acts as an architectural core bringing various components of the AI stack together with strategic partnerships, cognizant methodologies, and AI platforms to address specific reinvention needs of businesses. Finally, our centralized AI platforms and products unit is a factory packaging custom IP into repeatable solutions. Underpinning our AI builder stack is our talent strategy. Over the last two and a half years, over 340,000 of our associates have completed AI skilling. We are shifting from a traditional linear staffing model to an asynchronous autonomous software engineering model. In this framework, our associates are trained to delegate complex high-value macro tasks to agentic networks while the micro steer to outcomes using platforms like Cognition, Gemini, Cloud, Hub, and others, orchestrating through Cognizant FlowSource. We are in the process of developing a hyperproductive high-velocity delivery model for agents to asynchronously assist human software developers and agent managers. In addition, we are broadening our talent base with non-STEM talent and early career programs. This includes aggressively recruiting interdisciplinary skills at the intersection of industry domain and technology. We added over 16,000 associates in India in 2025. In 2026, we are targeting 2,000 campus hires in the US and approximately 20,000 in India. We are seeing this AI builder strategy translate into demand across our core practices. For example, our proprietary platforms like Flowsource and neuroengineering are helping clients unlock technology debt, helping to fuel 8% year over year in both the fourth quarter and year in our digital engineering practices. Similarly, as our clients rethink their operations through an agentic lens, demand for our BPO business powered by deep immersion of digital labor grew 9% year over year in the quarter and the year. Our AI data training services launched early last year is gaining traction with our clients to build fine-tune AI models at speed and scale. Demand for data and cloud modernization remains healthy with revenue across both practice areas growing mid-single digits organically, outpacing total company growth. Let me share a few client examples of our strategy in action. First, with the financial services client, we signed an incremental billion-dollar partnership where we are leveraging our AI platforms, including our NeuroSuite and FlowSource, to help accelerate speed to market, drive product innovation, and deliver enhanced productivity. Next, with Cisco, the global leader in food distribution, we're transforming their complex customer interaction ecosystem into agentic capital. Previously, customer requests from product credits to auto substitutions could have prolonged resolution windows. Now, by deploying orchestrated agents, we have collapsed that cycle to ninety seconds. Cisco is harvesting this AI-generated savings to fund its next phase of identification. In the health care sector, we moved from pilots to production-grade automation. For a major US regional player, our AI intake platform reduced enrollment cycle times from as many as seven days to minutes. On their claim side, our clinical engine now adjudicates 96% of nurse note reviews autonomously, cutting human review times from eight hours to twenty minutes. We are scaling this expertise globally through a new strategic collaboration with Bupa Hong Kong, where our GenAI-led business process as a service solution modernizes claim and fraud, waste, and abuse detection, marking our largest BPO win in the region. We announced a multiyear expansion with Kolar, a leader in kitchen and bath products, building on our successful five-year partnership. We are bringing our cloud management capabilities and AI solutions like neuro idea ops to advance Kolar's digital ecosystem and drive AI-driven innovation. As we look towards 2026, we are well-positioned to continue our momentum. Our ambition is to lead as an AI builder and maintain a position in our industry's winner's circle. In closing, I'm proud of all that we have accomplished over the last three years. It has helped us reach our industry's winner circle two years ahead of plan. As the next decade of contextual computing unlocks new waves of nonlinear enterprise productivity and agentic software cycles, I believe there is a significant opportunity to create shared value for our clients, our associates, and our shareholders. The foundation is set. I believe the boldest chapters of our story are still ahead. Thank you again for joining us. I'll now turn the call over to Jatin.
Jatin Dalal: Thank you, Ravi, and thank you all for joining us. Our fourth quarter and full-year results were a significant milestone in a multiyear journey marked by disciplined execution, strategic clarity, and operational excellence. We delivered fourth-quarter revenue growth above the high end of our guidance range and exceeded the initial full-year guidance we provided in February across all revenue, adjusted operating income, EPS, and free cash flow. We expect that our calendar year 2025 constant currency revenue growth will be in the top tier among the 10 peers against which we benchmarked performance, placing us definitively in the winner's circle. Beyond revenue growth, we achieved each of the broader objectives we provided at our Investor Day. This includes sustaining large deal momentum, skilling for the future through AI training, approximately 260,000 employees, adjusted operating margin expansion of 50 basis points, and 2025 adjusted EPS growth of 11%, well above revenue growth. We delivered these results during a period of significant macroeconomic complexity and technological change, further bolstering our conviction in the strategic actions we have taken to become an AI builder company. We are well-positioned to sustain this growth in 2026 and confident that we can build on this momentum in the years ahead. Now moving to the details. In Q4, revenue of $5.3 billion grew 3.8% year over year in constant currency and was all organic. For the full year, the revenue of $21.1 billion grew 6.4% in constant currency, including 260 basis points of growth from Belcan. With respect to demand, the environment remains complex. Traditional discretionary spending cycles continue to evolve as clients rebaseline expectations for productivity gains. However, we view this as an opportunity to capture wallet share in large deals and help clients reinvest savings into innovation. Moreover, it opens new pools of addressable spend for us to advance our AI Builder strategy. Now, turning to segment results. Financial Services once again led with full-year constant currency revenue growth of approximately 7%. This was driven by strong performance in North America across banking, financial services, and insurance clients. We have seen a steady improvement in discretionary spending in the last several quarters and consistent large deal signings, including a new mega deal in the fourth quarter. Our pipeline is strong, and we feel well-positioned to carry this momentum into 2026. Health sciences performance was resilient despite ongoing industry cost pressures and policy changes. In this period of heightened uncertainty, we are helping customers reduce costs while improving patient experiences and accelerating productivity. These cost savings are funding clients' future-focused investments across core platforms, cloud modernization, and regulatory readiness. We are seeing GenAI projects grow in areas like claims efficiency, clinical documentation, and customer experience. TriZetto remains a core differentiator, driving growth in implementation and managed services as clients modernize their administrative cores. Products and resources performance has been stable. While tariff uncertainty continues to suppress discretionary spending, we expect large deal traction during 2025 to drive better performance in 2026. AI adoption is growing across consumer and retail sectors, leading to demand for data services and agentic-led experience transformation. In communications, media, and technology, fourth-quarter year-over-year growth among our technology customers was more than offset by weakness in comms and media. Within comms and media, we have seen some impact from broader end-market softness, particularly in North America. On the technology side, clients continue to rapidly innovate and adopt GenAI, which is driving demand for our services. Geographically, North America was again our standout region in the fourth quarter, with growth of more than 4% year over year in constant currency, driven by financial services and healthcare. Europe grew 2% in constant currency, with healthy growth in financial services and among life sciences customers. Rest of the world grew in line with the total company, driven by the Middle East. Turning to bookings, bookings growth in the fourth quarter was driven by robust large deal performance. We signed 12 deals, each with TCV of more than $100 million. This includes two mega deals in the quarter, one in financial services and one in healthcare. On a trailing twelve-month basis, bookings grew 5% and represented a book-to-bill of 1.3. Annual contract value declined modestly year over year due to the mix of longer-duration deals and softness in small deal banks. That said, our backlog visibility at year-end is similar to where it stood this time last year and underpins our confidence in our full-year guidance. Now moving on to margins. Fourth-quarter adjusted operating margin of 16% increased by 30 basis points year over year, benefiting from NextGen program savings, increased utilization, and the Indian rupee depreciation. We delivered this result despite increased compensation costs, including our merit cycle and variable compensation, which drove a significant portion of our gross margin change year over year. Variable compensation for the majority of our associates is expected to be the highest since 2018, and we remain committed to investing in talent to fuel our growth. In November, the Government of India implemented certain provisions of the Code on Social Security or Labor Code as part of a broader labor law consolidation initiative. These rules did not have a material impact on our P&L in the quarter but did result in a one-time increase to our defined benefit liability on our balance sheet with a corresponding increase to accumulated other comprehensive income. We anticipate a modest increase in our defined benefit costs perspective. Now, to additional details on EPS, cash flow, and capital allocation. Fourth-quarter adjusted diluted EPS was $1.35, up 12% year over year. This drove full-year EPS of $5.28, up 11% from the prior year. DSO of eighty-one days declined one day sequentially and increased three days year over year. Fourth-quarter free cash flow was up approximately $800 million and brought the full-year amount to $2.7 billion, representing more than 100% of net income. During the fourth quarter, we returned nearly $500 million of capital to shareholders through share repurchases and dividends, bringing the full-year total to approximately $2 billion. We ended the quarter with cash and short-term investments of $1.9 billion or net cash of $1.3 billion. These amounts exclude about $730 million, which was deemed restricted cash and held in escrow ahead of the closing of the Three Cloud acquisitions on January month. Our M&A pipeline is healthy, and we intend to maintain an active acquisition strategy to strengthen our capabilities aligned with our AI Builder strategy. We believe our robust free cash flow and strong balance sheet provide us with flexibility to invest strategically in the quarters ahead while continuing to return significant capital to shareholders. Now turning to 2026 guidance. For the first quarter, we expect revenue to grow 2.7% to 4.2% year over year in constant currency. This includes approximately 100 basis points from our recently completed acquisition of Three Cloud. The midpoint of this range implies a modest sequential decline on an organic basis, due in part to lower bill days in Cuba. For the full year, we expect revenue to grow 4% to 6.5% in constant currency. This includes an inorganic contribution of approximately 150 basis points, of which approximately one-third is expected to come from future M&A. The midpoint of the range implies organic revenue growth of approximately 3.8%, which is consistent with our 2025 performance. This is also approximately 150 basis points above the midpoint of our initial 2025 organic growth guidance provided last year. At the midpoint, our full-year guidance implies stronger sequential growth in the second and third quarters compared to 2025. Similar to our guidance philosophy last February, the midpoint is based on our current visibility and the discretionary demand environment as we see it today. Our adjusted operating margin guidance is 15.9% to 16.1%, which represents 10 to 30 basis points of expansion and is in line with the outlook we provided at our Investor Day last year. Similar to 2025, we expect expansion will be driven by cost discipline and SG&A leverage. We expect free cash flow conversion of 90-100% of net income. The adjusted effective tax rate is expected to be in the 25% to 26% range. The midpoint implies a modest increase year over year, driven in part by discrete beneficial items in 2025 that we do not expect to repeat in 2026. Our expected weighted average diluted share count is approximately 475 million. This leads to adjusted diluted EPS guidance of $5.56 to $5.70, representing 5% to 8% year-over-year growth. Expected EPS growth is being driven by anticipated revenue growth, margin expansion, and lower share count. This is being partially offset by a higher tax rate, lower interest income as a result of lower assumed interest rates, and an increase in non-operating expenses related to the India labor code changes. For 2026, we expect to return approximately $1.6 billion of capital to shareholders, including approximately $1 billion towards share repurchases and the remainder toward our regular dividend. This leaves ample expected free cash flow available for future M&A. As always, we will evaluate these plans regularly. In the absence of strategic and accretive acquisition targets, we expect to return capital to shareholders and not build cash on the balance sheet. Finally, as we mentioned last quarter, we continue to evaluate a potential primary offering and secondary listing in India. We have engaged various financial and legal advisers as well as the regulators in India to assess the idea. As always, we remain committed to acting in the best interest of our shareholders, and this process aligns with this commitment. As of today, the board and management team continue to evaluate the proposal and have not yet made a decision. In summary, 2025 was a successful year. As we look toward 2026, we are well-positioned to continue our momentum. As Ravi mentioned earlier, our ambition is to lead as an AI builder and maintain our position in our industry's winner circle. With that, we will open up the call for your questions.
Operator: Thank you. We'll now be conducting a question and answer session. If you'd like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you'd like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. In the interest of time, we ask that you each keep to one question and one follow-up. Thank you. Our first question comes from the line of Jason Kupferberg with Wells Fargo. Please proceed with your question.
Jason Kupferberg: Good morning, Nice to see these numbers. I just wanted to start on the AI topic. And obviously, some new data points coming out from certain industry participants just over the last couple of days. For example, talking about expediting ERP implementations pretty significantly. It certainly seems to us, like, Cognizant to date has been a net winner from AI. To get your perspective on how that plays out in '26 and maybe just in light of some of these recent headlines, what percent of your total revenue currently comes from package implementation? Thanks.
Ravi Kumar: Thank you for that question. You know, this has happened over tech revolutions before. When a new technology comes, we kind of think the old technology will go away, but the new technology will actually provide more opportunities. I see this as an increase in our total addressable spend. I mean, if you're referring to what's happening in the last few days, I can tell you any tool, any technology will not magically generate value on the other side. You need a bridge. And that bridge is what companies like Cognizant do. I'm gonna be precise on what I mean. You can't apply this technology on existing old processes. So you have to reinvent and reimagine a process. This is a technology that is very contextual in nature. It's not written on the microprocessor, which is deterministic. It's very probabilistic, which means we have pioneered something called context engineering, which is grounding this technology in the reality of an enterprise, understanding the heterogeneity of an enterprise. I mean, two SAP implementations are not the same, just to go back to the package work you spoke about. And it is about understanding the hustle, the flows, and everything else. Integrating deterministic software, which was written for the last twenty-five years, with probabilistic software, which will be written for the next twenty-five years. And building flows where digital and human labor can work together, integrating it into the operating and the physical layers of an enterprise. I think all of this is a lot of heavy lift. I mean, if this was all real, and if this was it, it would have switched on magically without anybody doing anything. We would have seen the drift of value already. And that's not happened yet. There is, you know, our study said there's $4.5 trillion of labor which can actually be amplified with higher productivity out of the $15 trillion in the United States in the last few years. It's not drifted yet because all of this has to be done. Equally, going back to what you just asked, there is technical debt. There is a lot of backlog. There is the elastic of software, the traditional software, leave it all the new software we're gonna write, which can actually expand. So we see this as a net new tailwind for us on two swim lanes. On the traditional software, apply it, you know, and do more for less and get more consumption because of elasticity, take out technical debts, take out the backlog. On the other end, apply this on a much new addressable spend, which classical software didn't penetrate. So I see this as more of a bigger opportunity for us and a higher surface area for us to actually operate. So this is a tailwind. We are cutting out to be winners. Our builder strategy is working. And our three-vector strategy we spoke about, both on applying this to traditional software and writing new agentic software, which can actually capture significantly more surface area and enterprises. We think it's a phenomenal opportunity. Now enterprise software package, you spoke about, you know, package software has been there for the last twenty years. There has been deterministic code. There's been systems of recording it. We're gonna apply layers of AI value on top of it, actually generate more value than before. So there is gonna be a coexistence of deterministic and probabilistic software, and there's gonna be interplay between the two. Okay.
Jason Kupferberg: Understood. Thanks for all that color. And just a numbers one, for Jatin. I wanted to ask about gross margins. It sounded like the year-over-year decline in Q4 was primarily due to higher variable comp, which is arguably a good problem to have just given the overall financial performance of the company this year. But any other gross margin dynamics we should be thinking about in terms of 2026? Do you expect gross margins to be up year over year? And just to clarify, are you seeing any like-for-like pricing pressure as part of the year-over-year declines in gross margin currently? Thanks, guys.
Jatin Dalal: Sure. So, yes, Q4 impact on gross margin was predominantly on account of higher bonus funding that we did for the full year. In quarter four, led by a strong operating margin performance for the full year that we were able to deliver. Apart from that, there was also a salary increase, as you are aware, which came through effective first November into the gross margin. So I would say those are the two factors that played out a bit in quarter four. I think the right way to see our gross margin is for the full year. And the full-year impacts are predominantly one, you know, the Belcan impact for the full year in 2025 gross margins. And the second is essentially slightly, I mean, essentially, the higher bonus for 2025. And as you mentioned, it's a good thing to have. Looking ahead for 2026, I mean, there is a productivity lag pressure in the industry. And therefore, the expectation that for a dollar value, you get a superior throughput than what you traditionally enjoyed through traditional productivity levers in the past. And that does impact the revenue, but I wouldn't call it a drag on margins yet so long as you are able to execute on your internal productivity measures and keep the cost curve below the price curve continuously, and that's what you have seen. We have been able to deliver revenue per employee productivity and profit per employee productivity in the previous twelve months. So far, we have been able to execute well against that market momentum for productivity, and therefore, I would say we are entering 2026 with that confidence. Going forward, we'll have to continue to watch out for the moment in the market. We do think that we have a few levers apart from AI productivity, and a couple of them are really the continued improvement in Pyramid. We hired 20,000 fresh college graduates in 2025, and we'll continue to look at that. And that does impact the long-term cost structure of the organization. And we'll continue to look at other traditional measures like offshoring and utilization beyond AI perk that I spoke about. So overall, we have things we can work through for 2026.
Ravi Kumar: Thanks.
Operator: Thank you. Our next question comes from the line of Tien-Tsin Huang with JPMorgan. Please proceed with your question.
Tien-Tsin Huang: Really strong large deal activity again here in the fourth quarter. So I want to ask your confidence and your ability to grow off of that larger base in '26 over '25. How does the pipeline look for larger deals in '26? And any good line of sight into deal ramps being timely. Thanks.
Ravi Kumar: Thank you, Tien-Tsin, for that question. Yeah. I think we've had a great bookings quarter, 9% YoY, TTM 5%. 50% increase in TCV on large deals for the full year and 60% increase in TCV of large deals in quarter four. And we are very excited about the fact that our fixed price business now is almost 50%. I mean, you know, three years ago, that used to be 41 to 42%. So we can, in some ways, fixed price it, share the productivity of the clients, and actually pass on some to ourselves. We're keeping that, you know, we are one of the we are probably the only player in our peer group which talks about code-assisted and autonomous software engineering. 32% of our code is AI-assisted. So we have now activated two swim lanes. In 2024, a lot of the large deals were productivity-led. Now we are seeing innovation-led vector two, vector three, as I call it. We did $1.2 billion deals in Q4. So it was a start. We crossed $10 billion. That's a record of starts. We have one $1 billion deal in quarter four, have five mega deals in the full year, and we have two mega deals in quarter four. So we have a strong pipeline, and we have reactivated both the swim lanes. And we are starting to do the transition of that work, and therefore, we see a solid quarter two and quarter three. In fact, we see more acceleration during the year of ramp-up as well as more deals on the way. So I'm very excited about the fact that this has become a tailwind for us. AI is a tailwind for us.
Tien-Tsin Huang: No. Terrific. It's impressive. And so just clarify, you mentioned it there, Ravi or Jatin, if you wanna chime in. The confidence in the faster sequential growth beyond the first quarter being higher than the pattern in the last couple of years. So it sounds like that's really just what you see in terms of the large deals ramping and the timeliness of that?
Jatin Dalal: Sure. So to me, there are two factors that play there. One, of course, is the strong bookings that we are walking in 2026 with. And the second is there is some amount of seasonality between quarters also in 2026 compared to '25. For example, in Q1, there are lower bill days in '26 compared to the number of bill days that we had in Q1 in 2025. Which automatically means that the sequential number improves in quarter two compared to quarter one in 2026. So these are the two factors that give us confidence that we can execute better sequential growth in the middle of the year. And that's what we have assumed in our guidance range, including the ramp-up of deals, you know, which we have closed in quarter four.
Tien-Tsin Huang: Understood. Well done on all the deals here. Thank you.
Operator: Our next question comes from the line of Keith Bachman with BMO Capital Markets. Please proceed with your question.
Keith Bachman: Hi. Many thanks. I wanted to ask about the risk and opportunities of the fixed price, or success-based contracts are now about 50% of total. And what I'm trying to understand is your pricing I think you're pricing these contracts on assumed cost curves that leverage new innovations including AI, and I just wanna understand how you know, a, is there more are these are the prices more aggressive today than they have been? B, how should investors think about the risk and the opportunities of overage and underage in terms of achieving those cost curves? In other words, are you sharing those risks with the customers? But if you could just speak to the changing nature of the economic risks associated with these success-based contracts.
Jatin Dalal: Sure. So, you know, there are various types of fixed price engagements, but essentially, I mean, they have one thing in common is that the larger component of delivery risk resides with the service providers like us. And, essentially, we underwrite the productivity in the beginning of the contract and we deliver to that productivity to the customer irrespective of whether we are able to achieve that outcome from a cost standpoint or not. The history of the industry is that we always have found ways through new technological progress to be able to deliver it. Specifically, in light of the whole large deal momentum that Cognizant has been able to achieve, we have a very, I would say, very robust process of bid versus date that we monitor every month the performance of the deals that we have won and how we are delivering our operating margin and revenue performance against those promises. And I'm happy to share that we deliver on aggregate of the portfolio very close to the expected margins that we had planned, which means we are in aggregate not having any overrun or also not significant underrun. So overall, we are tracking to the budgeted goal for our customers as we go, and that we will continue to do. That is something that is crucial in times like this when technology is shifting. And overall, we feel we are performing well.
Ravi Kumar: I just wanna add two quick points to Jatin. If you look at it, in some ways, we are sharing the productivity, sharing the risk with our clients, but we are actually doubling down on execution. Look at our revenue per person and margin per person. It's gone up by 5% trailing twelve months, 8% margin, and 5% revenue trailing twelve months, which essentially means we are able to share with our clients the productivity, win, and actually, price to win and deliver to margins. That's our motto. And I think with this nonlinear opportunity with the technology, you can be ahead of the curve and do that. The second, I would believe, which is a very important shift, historically, if you look at it, go back to the nineties, companies like ours used to own the outcomes. And we used to price on outcomes. And then the enterprise software, both on-prem and SaaS, and then the plumbing on the cloud kind of abstracted layers of that value. And outcome-based was hard because there were so many people in the mix. We are fast forward. We can own the outcomes. We can own the outcomes. We can make this a platform play. We can make it nonlinear cost and nonlinear revenue. And we can take over operations of companies and give them a service. That is the reason why our BPO business is actually growing at 9%. Why on why? 9% of the BPO business is growing because we are able to do that very well. We are able to deliver outcomes on the value chain and share the benefits.
Keith Bachman: Yeah. We thank you, Ravi. This sort of led into my next question durability of BPO. I think, you know, two years ago, many, including ourselves, had some concerns about the you know, what AI would do to BPO. It's been I think, one of the more robust parts of the market. And it seems clients need help in setting AI into BPO. And my question is, how durable is this? In other words, once you get those processes established in BPO, enabled by AI, does that create longer-term headwinds, or is there enough momentum here this is a multiyear tailwind or good growth within the context of BPO?
Ravi Kumar: You know, that's a great question. I mean, look. This is total addressable spend, which is 10 times or maybe 20 times more than tech spend because you're embedding technology data into process and in recent times, machine learning and AI. You know, Cognizant has had nine to 10% growth in BPO for three years in a row. And the reason why we have done so is because we have always been on the cutting edge. We think this is a longish tailwind because operations of companies are a much bigger addressable spend. And we think we have an opportunity not just to transform, reinvent, reimagine flows in a company, we also have the ability to maintain them. There might be no I think we are underestimating how much that reinvention will need. It's decades of work. We are underestimating how much it needs to maintain. I mean, this is a contextual technology. It has to be grounded. It has to be situational. And we, you know, the effort needed to maintain and manage deterministic technology is less than the effort needed to maintain a probabilistic technology. So we have actually more work to do in maintaining than before. So I see this as a significant tailwind to our BPO business. We call it intuitive operations. You know? Even before AI into picture. So that's how we see this.
Keith Bachman: Okay. Thank you, gentlemen. Much appreciated.
Operator: Thank you. Our next question comes from the line of Jim Schneider with Goldman Sachs.
Jim Schneider: Good morning. Thanks for taking my question. As you talked on the Health Sciences script about the cost benefits to those companies sort of outweighing any kind of regulatory pressures you're seeing. Clearly, in the payer space, there's been a lot of debate about additional regulatory burdens and cost pressures. Just would love to understand your level of confidence in the relative growth for your Health Sciences segment this year relative to your full-year guidance overall?
Ravi Kumar: Thank you. Our health sciences business grew at six-plus percent, way higher than our company average. It's a business where we probably are the number one player in the market. We have a platform with half a trillion dollars of transactions flowing through it. We have 200 million members. We have a moat, which is super differentiated. There is a lot of labor sitting around it. And I think with the uncertainty of regulation in the payer side, you will want to transform those layers of value around the TriZero business. And shift that money to care. Because there is uncertainty around spend cycles. We're seeing more traction with companies that are willing to apply AgenTek in and around the traditional platform. And we see this capture of these value pools in new spend areas for Cognizant. We have started to partner with Palantir, which I spoke about. We have a partnership with Microsoft. We have a partnership with AWS. We are doing with Google Cloud. We're putting all these layers, and we're identifying the labor attached to it so that the administrative costs are gonna go down. And that money is gonna be underwritten for care. So there is more hustle and more work because of the uncertainty and the need and the paranoia about transformation so that this money is gonna be moved to care. Equally, there is a lot of work around applying agent takes to, say, bedside care. Or applying agentic to the life cycle of patients all the way from before they start to get to a doctor to after they finish the visit to the doctor. In fact, some of the places I've mentioned one or two examples where we are able to take notes of doctors and nurses and identify the whole thing and create high productivity for health care workers. So I see this as a tailwind because of the fact that there's uncertainty around regulation. We are actually gonna see more transformation on the administrative layers which will then transfer that value to care. Of course, there's also a part of life sciences and providers ecosystems there. And remember, the regulatory pressure is only on Medicaid and Medicare. It's not on commercial health care. But having said that, I think that uncertainty provides an opportunity to constantly innovate and transform and also to adhere to new regulatory norms using technology to adhere to new regulatory norms.
Jim Schneider: Thank you. And then maybe as a follow-up, you sort of discussed many things that are sort of impacting gross margins at this point, whether that be the kind of outcome-based pricing, the fixed pricing, and also the pyramid. Can you maybe talk about when do you see line of sight to sort of gross margin inflecting on a year-over-year basis at some point during the course of this year? Thank you.
Jatin Dalal: Yep. So, Sachin, we'll I mean, we have guided for the overall operating margin line. I want to guide at both the lines. But our endeavor would be to strive to reach that improvement in the gross margin line too. As I shared before, 2025 doesn't worry me because I know these core margins have remained protected. The dilution that you see in 2025 is coming predominantly because of Belcan, which has a structurally more on-site centric work, and therefore, it is not about lower profitability. But since you add a business that is more on-site centric, it is bound to have a lower gross margin, as you know. So it is not it is just a portfolio that has a particular characteristic which got added to the larger portfolio, that's one reason. And the second reason is really the higher bonus payout, which I think is a good thing for our employees. So I know we are protected and sustained the margin in '25. We will work towards, of course, improving them in the future.
Ravi Kumar: I just wanna add two quick things here. Look. We are broadening the pyramid. We have a thesis that the value is actually gonna be more at the bottom. With higher productivity. Last year, we added more school graduates than the previous year. This year, we're gonna add more school graduates than the previous year. So that's gonna give a tailwind to it. Our productivity sharing with our clients and how much we are gonna keep back, is, you know, the 5% revenue per person and 8% revenue margin per person, that's gonna help. And, you know, good discipline operating has also helped. So there is a tailwind on it, and we're not worried about keeping our expensive margins for 2026 and beyond.
Jim Schneider: Thank you.
Operator: Thank you. Our next question comes from the line of Bryan Bergin with TD Cowen. Please proceed with your question.
Bryan Bergin: Wanted to start with just kind of a bookings to growth question. So can you help bridge the ACV growth performance in 2025 to your 2026 growth guide? I'm just curious how you're factoring things pipeline diversion and really the midpoint of the range as well as things like short-term work. Can you detail that first? And then I'll ask my follow-up here. On the margin front, just SG&A, you've driven meaningful savings here in '25. You've actually held the dollar level flat for, like, three years. Understanding it wasn't optimized before, I'm just thinking how much more meaningful room do you have in that SG&A line to continue to help you?
Jatin Dalal: Yeah. So on ACV, definitely we saw some amount of softness in quarter four, but I would also characterize that with the bundling of smaller deals being given out as consolidated contracts, and therefore, you see significant TCV of large deals which corresponds to that shrinkage for the smaller deals. That's a sort of industry dynamic that we see in times like this. So while that is definitely a data point, it is not something that is a challenge from a growth standpoint. On your sorry. Can you just repeat your second question?
Bryan Bergin: Yeah. Just on SG&A. So you've done a great job there, right, for a couple of years. I'm just curious how much more room you have to optimize that base to continue to help if gross margin isn't gonna stabilize sooner?
Jatin Dalal: SG&A continues to be an area of focus for us. So while we have done a good job in '25 and '24, so two years in a row, but that has now additional opportunity in the form of the deployment of AI in the corporate work that we do. So certainly, we will continue to push that in 2026 too.
Bryan Bergin: Alright. Thank you.
Operator: Our next question comes from the line of James Faucette with Morgan Stanley. Please proceed with your question.
James Faucette: Thank you so much. Just wanted to ask a couple of quick follow-up questions. On near-term activity and sales engagement, I think you've mentioned a little bit of softness there at least in the fourth quarter. Can you just give a little more color there? Where were you seeing that? Is it just in near-term bookings, and how are you feeling about the potential for discretionary work to come back? I know that that's been something that everybody's been looking forward to coming back a little bit more aggressively, and clearly, you're doing well in kind of the larger deals, but just wondering about kind of more of the faster-term business.
Ravi Kumar: Yeah. So, you know, look, we'll continue to see more large deal momentum. I mean, if you wanna share productivity with clients and win and use the process of consolidation, wallet share swap. Let's say, phenomenal opportunity. Innovation levers are trying to kick in now. That's gonna help us on smaller deals and discretionary. Look at financial services. We did nine-plus percent quarter four, and we did seven-plus percent for the full year. Financial services is a lot of discretionary. So and it's our largest vertical. And financial services performance in 2025 is the best we have had since 2018. So it is actually a good tailwind. I think there's gonna be as the pivot for AI shifts significantly from productivity to innovation, we're gonna see more discretionary flowing in. There is a talk of physical AI, which is now starting to hit manufacturing and automotive and aerospace and industries of that kind, that will also create opportunity. As the AI experiments will start to go into production, we're gonna see discretionary new value pools opening up. So overall, I think financial services is positive news, and it's one of our most cutting-edge industries and the highest exposure. So the others will follow. So I do see the unlock. Of course, the macro has to support for the acceleration. You know, for discretionary, the macro has to support. What I'm not worried about is, you know, actually, I would say if the AI advances have to trickle drift to the businesses, I would actually believe that that is actually gonna support the discretionary to come back. It's gonna be a catalyst. It's gonna trigger a CapEx cycle on enterprises to drift that value. And it will flow through to us. So that's how I'm seeing it. Financial services is a starting point, which has already happened. The others will follow.
James Faucette: Yeah. Thanks for pointing out financial services. That stood out to us as well. And then just quickly, I know you gave a quick summary of the work that you're doing, India listing. Can you just give us a rough idea of what you're thinking about in terms of time frame or when at least we should be able to put together a calendar and time frame list? I know that's a key concern or at least thought for a lot of investors.
Jatin Dalal: Yep. So as I mentioned in the opening remarks, we continue to make progress. We are engaged with our advisers. At this juncture, we are still thinking through the decision, the regulatory framework, and therefore, the around the imminent secondary sorry, primary offering and secondary listing. And at some point, we should be able to come back and tell you more about this. But at this juncture, I think it's a continued progress would be what I would suggest as an update from the previous quarter to this quarter.
Ravi Kumar: And we have had constructive discussions with the regulators. So we're continuing to do what is right for our shareholders and continue to look for more investors to be a part of our growth story. So we'll keep you updated on that. Maybe we'll take one. Thank you.
Operator: Our final question today comes from the line of Rod Bourgeois with DeepDive Equity Research. Please proceed with your question.
Rod Bourgeois: Okay. Great. And I'll just ask one. Given the time here, Hey. You already addressed the question about AI being applied to ERP implementation. There's also new Claude plugins geared towards workflow automation. I wanted to ask to what extent you see such workflow automation abilities impacting your market opportunity and to what extent you already have a partnership all in that area. Thank you, Ravi.
Ravi Kumar: Thank you, Rod. Look. We announced a partnership with Anthropic last year, late last year. The more AI can do, the more is the opportunity for us. It's very simple. I mean, let's talk about the plug into legal. How much software has been implemented in legal? There is so much paralegal work happening. In fact, we work for a professional services and a legal services company where we are agentifying all their paralegal work. That never existed before. Now there's a lot of labor around classical software. And all that labor needs more productivity. If you want to drift that value to higher productivity to the workers, in every function of a company, AI can be the catalyst. And that is a net new spend area for us. And that is what we're looking for. Those net new spend areas. This is a totally new addressable spend. And if you're embedding technology, you are able to integrate this technology to the system of record written in SaaS software and you're able to build those workflows, build those flows where humans and digital labor can work together and amplify the productivity. If you're able to reinvent those processes for higher throughput, higher velocity, using this tool as a catalyst, we're gonna up the productivity of enterprises and bump up the productivity of workers and we're gonna be the bridge to do that. So I see this as a unique new opportunity. The more it comes in I mean, remember, this technology is smart enough already. I mentioned in our remarks that $4.5 trillion of labor is already exposed to AI and it can create higher productivity. The reality is none of that is drifted to enterprises. None of that is drifted to enterprises. Need that bridge. And that bridge is all about contextual engineering. It is about reinventing the process. It's about redefining redesigning these flows in a company, integrating it into the SaaS layer so that there is interplay between deterministic and probabilistic layers. And it is also about integrating it into the physical and the operational layers of the company so that you can get that value. So that is the way forward. And, don't I mean, at this point in time, it is not about getting the smarter technologies. We already have smarter technologies. At this point in time, how do you drift that value to businesses? And, there is an urgency because you know, there's $405.1 billion dollars which has been spent on infrastructure in the last two years. And you have to get that value here, and there's trillions of dollars of value. And the shelf life of this technology is short. So I see this as a net positive. For more work, more surface area, more addressable spend. For companies like ours, and we call it the AI builder because we have this unique to be the bridge.
Jatin Dalal: Thank you.
Ravi Kumar: So thank you so much for joining the call. Thank you for your continued support. We've had an exciting 2025. You know, we have outpaced our own expectations on revenue, margin, EPS, EPS growth has been higher than revenue growth, expensive margins. This is what we said in the investor day. And we are continuing to keep our trajectory, accelerating our trajectory. We are on the top of our charts on our relative growth in comparison to our peers. And we hope to keep the Minas Circle performance in 2026 expansive margins, and EPS higher than revenue growth revenue growth at the middle of our range is actually higher than what we presented last year. And we are in a solid foundation. I think the boldest chapters are gonna be in 2627 as we go forward.
Operator: Thank you. This concludes today's Cognizant Technology Solutions year-end fourth quarter 2025 earnings conference call. You may now disconnect your lines. Thank you for your participation.